Lea Ann McNabb - Investor Relations: Thank you for joining Trimble's Fourth Quarter and Year-End 2007 Earnings Call. I am here with Steve Berglund, our President and CEO and with Rajat Bahri, our CFO. Before we begin the call, let me remind you that during the course of this call we will make projections or other forward-looking statements regarding future events or the future financial performance of the company. The words intend, expects, plan or similar expressions are intended to identify forward-looking statements. We wish to caution that such statements are subject to risks and uncertainties that could cause actual events or results to differ materially. Important factors relating to our business including factors that could cause actual results to differ from our forward-looking statements are disclosed in our Forms 10-Q, 10-K and other filings with the SEC. The company assumes no obligation to update these forward-looking statements to reflect actual results or changes in assumptions or other factors. With that I'll turn the call over to Steve.
Steven W. Berglund - President and Chief Executive Officer: Good afternoon. The quarter ending in December represented the end of a strong year for Trimble. Revenues were up 30% year-to-year and were over $1 billion for the first time. The second half of the year was as strong as the first half with both being up 30% demonstrating that US recession concerns did not have a material negative effect on Trimble revenue growth in the second half. Non-GAAP operating income continued to grow at a rate faster than revenues and grew by 45% for the total year. Operating leverage for the full year was 26% and the full non-GAAP operating margin grew to 19.4% despite the drag effect from @Road. During the year, we also made significant progress in developing our major strategic themes in the Connected Construction Site, Precision Agriculture, and especially in Mobile Resource Management where we significantly increased our market presence with the @Road acquisition. In last quarter's conference call we characterized Trimble's current environment and give our best judgment on the outlook for both the fourth quarter and into 2008.At this point, we are reaffirming that picture based on our best updated judgment of current circumstances. We of course need to respect the higher degree of uncertainty in the financial markets and increasing concerns for a slower US economy. At the same time, we are basing our outlook on what we can currently see and on what we believe we can do to mitigate the US economic conditions. In October we commented on what we saw as continuing slowness in the US Engineering and Construction market and the relative volatility we saw during the third quarter in that segment in the US. As expected, the US market for E&C continued to be slower than the prior year during the fourth quarter. While we continue to monitor the construction market for additional changes, our basic outlook for 2008 remains the same as it was in October and assumes the US economy is slower, but does not dramatically worsen. Of particular importance is how quickly the financial markets move through the subprime-related problems and enable the credit markets to resume providing liquidity to our US users. In the third quarter call, we made the additional observation that international revenues were continuing to be strong in the Engineering and Construction segment, and we are offsetting slower US conditions. During the fourth quarter, our international revenues continued to be very strong with no signs at this point of slowing down. A significant portion of management effort in 2008 will be devoted towards intensifying our efforts to grow our international presence across all our segments. Another observation we made in October was that we did not intend to wait out the slower conditions in the US Engineering and Construction segment and that we will take proactive actions to mitigate the slower US construction market. This belief has formulated around our view of the characteristics of our US E&C market. One characteristic is that during tougher times the better run and better capitalized surveying and construction firms will use these tougher times as an opportunity to improve their market position, using the productivity achieved through technology as a competitive edge. We expect this group of users to continue buying whatever the conditions and we need to make sure we are there when we make that decision. In addition, we believe there are market segments such as the Heavy and Highway or Cadastral segments which will retail a relatively healthy spending rate regardless of the macro economy. We need to ensure our distribution channel is appropriately focused on these comparatively healthy segments. Based on this view of the market, we stated in the October call that we believe that fourth quarter E&C results will demonstrate better year-over-year growth performance than the third quarter. In reality, that is what occurred as the E&C segment growth year-over-year was 17% in the fourth quarter compared to 12% in the third quarter. We also noted that our Field Solutions segment has seen strong performance throughout 2007 based primarily on exceptional performance from our agricultural business. Agricultural performance in the fourth quarter was again exceptional, both in the US and internationally, and the expectations is that we will continue to face a buoyant agricultural market throughout 2008. We also spoke to the continuing development of our Mobile Solutions segment post @Road acquisition. The fourth quarter represented a significant step forward in this segment with a year-over-year acquisition-assisted revenue increase of 181% and operating margins for the quarter 14.8%. While the segment margins reflected highly beneficial product mix, it did reflect both our progress as well as potential for this business. The combination of all of these factors contributed to a strong fourth quarter and a comparatively robust view of the first quarter and total 2008. The key question is how much of the 2007 success we can carry into 2008 against the backdrop of the uncertainty about the state of the US economy. The macro views on the effects of a US slowdown are relevant, but only partly relevant when applied to Trimble. Given that we have already embedded lower expectations for the US economy in our outlook, the key determinants of success for Trimble in 2008 are rebated to continued growth outside the US, driven most heavily by infrastructure projects on highways, runways, railways and pipelines and secondarily by reasonable general European growth; a continuing robust agricultural segment; our ability to execute our mobile resources management strategy and capture the growth available in that segment; and avoiding an economic dislocation in US that is significantly more severe than what is currently in evidence. Based on both what we can see at this time and what we can do, we continue to view 2008 with guarded optimism in spite of the current general backdrop of economic concerns. More importantly, our three-year view remains unguardedly buoyant based on our views of how our strategy will play out in markets that have significant penetration potential still remaining. Finally, I will leave to it Raj to explain the details of our announced stock buyback program. Let me emphasize that our priority remains to invest in the strategic development of our businesses. However, our businesses do not require substantial capital expenditures and require relatively modest investments in working capital. In addition, we do not see any major internal programs in the next few years that would require a change in our historical business model relative to cash investments. Although we intend to continue to make strategic acquisitions, we believe that we will conform to our historical pattern of being relatively small and focused. Based on these considerations, we believe the cash flow we currently expect to generate from operations in the medium term will generate cash in excess of the investment needs of the business. As a result, the Board of Directors authorized a stock buyback plan to enable any excess cash to be used to benefit shareholders. Let me turn call over to Raj.
Rajat Bahri - Chief Financial Officer: Good afternoon. Revenue for the fourth quarter of 2007 was $312.8 million, up approximately 34% from revenue of $234.1 million in the fourth quarter of 2006. Fiscal 2007 revenue was $1.2 billion, up 30% when compared to fiscal 2006 revenue of $940.2 million. Excluding the acquisition of @Road, revenue grew by approximately 20% both for the quarter and full year versus prior year. Turing to operating income, operating income for the fourth quarter of 2007 was $39.3 million, up 44% from the fourth quarter of 2006. Operating margins in the fourth quarter of 2007 were 12.6% compared to 11.7% in the fourth quarter of 2006. Please be aware that for year-over-year comparisons, amortization of intangibles increased from $4.1 million in the fourth quarter of 2006 to $10.1 million in the fourth quarter of 2007. Stock based compensation expenses... expense was $4.1 million in the fourth quarter of 2007 compared to $3.1 million in the fourth quarter of 2006. And there was no in-process research and development expense in the fourth quarter of 2007 while there was a $860,000 in-process research and development expense in the fourth quarter of 2006. If you exclude these impacts, non-GAAP operating income of $53.4 million grew by 51% compared to the fourth quarter of 2006 and non-GAAP operating margins were 17.1% in the fourth quarter of 2007, up from 15.1% in the fourth quarter of 2006, an expansion of 200 basis points. For the full year 2007, operating income was $178.3 million, up 32% compared to 2006. Fiscal 2007 operating margins were 14.6% compared to 14.4% in 2006. Again it should be noted that amortization of intangibles increased from $13.1 million in 2006 to $38.6 million in 2007 due to acquisitions. Stock-based compensation expense was $15 million in 2007 compared to $12.6 million in 2006. In-process research and development expense was $2.1 million in 2007 compared to $1.9 million in 2006. There was a $3 million restructuring expense in 2007 while in 2006 there was no restructuring. If you exclude these impacts, 2007 non-GAAP operating income of $237 million grew by 45% compared to 2006 and non-GAAP operating margin increased from 17.3% in 2006 to 19.4% in 2007. Our 2007 non GAAP operating leverage was 26%, which means we dropped 26% of incremental revenue to operating income, which led to margin expansion. Net income for the fourth quarter of 2007 was up approximately 10% to $26.3 million compared the net income of $24 million in the fourth quarter of 2006. Diluted earnings per share for the fourth quarter of 2007 was $0.21, up from diluted earnings per share of $0.20 in the fourth quarter of 2006. The tax rate for the fourth quarter of 2007 was 35%, up from 25% in the fourth quarter of 2006. Adjusting for the amortization of intangibles, in-process research and development, and the impact of stock-based compensation expenses, non-GAAP net income for the fourth quarter of 2007 was up 18% to $35.5 million compared to non-GAAP net income of $30.1 million in the fourth quarter of fiscal 2006. Non-GAAP earnings per share for the fourth quarter of 2007 were $0.28, up from non-GAAP earnings per share of $0.26 in the fourth quarter of 2006. Net income for fiscal 2007 was up approximately 13% to $117.4 million compared to net income of $103.7 million in 2006. Diluted earnings per share for fiscal 2007 were $0.94, up from diluted earnings per share of $0.89 in 2006. The full year tax rate for 2007 was 36% compared to 30% in 2006. Adjusting restructuring charges, the amortization of intangibles, in-process research and development, and the impact of stock-based compensation expenses, non-GAAP net income for fiscal 2007 was up 26% to $155.1 million compared to non-GAAP net income of $123.2 million in fiscal 2006. Non-GAAP earnings per share for 2007 was $1.25, up approximately 17% from 2006 non-GAAP earnings per share of $1.06. When we look at revenue mix by geography, as we saw throughout 2007, fourth quarter revenue growth was very strong internationally. 52% of revenue comes again from North America, 29% from Europe, 13% from Asia-Pacific, and 6% from rest of the world. This represents a 23% increase in North America, 52% increase in Europe, 24% increase in Asia-Pacific and 92% increase in rest of the world. For the full year, 56% of revenue came from North America, 27% from Europe, 12% from Asia-Pacific, and 5% from rest of the world. This represents a 22% increase in North America, 41% increase in Europe, 30% increase in Asia-Pacific and 87% increase in rest of the world. Let me now discuss the results by segments, both on an underlying basis and reported basis. Please note that segments operating income is revenue less cost of goods sold and operating expenses, excluding general corporate expenses, amortization of intangible and in-process resource and development. In addition for each segment, non-GAAP operating income excludes the impact of stock-based compensation expense. Fourth quarter 2007 Engineering and Constructions revenue was $186.7 million, up approximately 17% when compared to revenue of $160 million in the fourth quarter of 2006. During the fourth quarter, E&C saw growth in all businesses within the segment and a strong international market. Fourth quarter 2007 operating income in E&C was $36.8 million or 19.7% of revenue compared to $32.6 million or 20.4% of revenue in the fourth quarter of 2006. Non-GAAP operating income in E&C was $37.9 million or 20.3% of revenue in the fourth quarter of 2007 compared to $33.6 million or 21% of revenue in the fourth quarter of 2006. Operating margins were slightly down due to product mix and acquisitions impact. Fiscal 2007 E&C revenue was $743.3 million, up approximately 17% when compared to revenue of $637.1 million in 2006, driven by all businesses segments. Operating income in E&C was $174.2 million for 2007 or 23.4% of revenue compared to $136.2 million or 21.4% of revenue in 2006. Non-GAAP operating income in E&C was $177.8 million or 23.9% of revenue in 2007, compared to $140.1 million or 22% of revenue in 2006. The strong operating margin expansion came from gross margins, due to increased products software content and operating expense leverage. Fourth quarter 2007 Field Solutions revenue was $49.6 million, up approximately 62% when compared to revenue of $30.6 million in the fourth quarter of 2006. During the fourth quarter, sales of agricultural products continue to be robust, driven by a strong global market and success of our products. Fourth quarter 2007 operating income in TFS was $14 million or 28.2% of revenue compared to $6.5 million or 21.3% of revenue in the fourth quarter of 2006. Non-GAAP operating income in TFS was $14.2 million or 28.6% of revenue in the fourth quarter of 2007 compared to $6.8 million or 22.1% of revenue in the fourth quarter of 2006. Fiscal 2007 TFS revenue was $200.6 million, up approximately 44%, when compared to revenue of $139.2 million in 2006. Operating income in TFS was $60.9 million for 2007 or 30.4% of revenue, compared to $37.4 million or 26.8% of revenue in 2006. Non-GAAP operating income in TFS was $61.7 million or 30.8% of revenue in 2007, compared to $38.4 million or 27.5% of revenue in 2006. Margin expansion was driven by strong revenue growth. As a reminder, year-over-year comparisons for Mobile Solutions results excluded the acquisition of @Road in 2006. The acquisition was completed in February of 2007. Fourth quarter 2007 Mobile Solutions revenue was $47.7 million, up approximately 181% when compared to revenue of $17 million in the fourth quarter of 2006. During the fourth quarter, of the @Road acquisition completed in February of 2007 continue to exceed expectations in terms of financial performance. Fourth quarter 2007 operating income in TMS was $5.7 million or 12% of revenue, compared to $828,000 or 4.9% of revenue in the fourth quarter of 2006. Non-GAAP operating income in TMS was $7 million or 14.8% of revenue in the fourth quarter of 2007, compared to $1.1 million or 6.2% of revenue in the fourth quarter of 2006. Both revenue and margin benefited from successful completion of significant deliverables for two major @Road customers. This was partially offset by weakness in the direct store delivery business. Fiscal 2007, TMS revenue was $157.7 million, up approximately 159%, when compared to revenue of $60.9 million in 2006. Operating income in TMS was $12.5 million for 2007 or 7.9% of revenue compared to $2.6 million or 4.2% of revenue in 2006. Non-GAAP operating income in TMS was $17.5 million or 11.1% of revenue in 2007, compared to $3.3 million or 5.4% of revenue in 2006. The margin expansion was driven by a higher subscription base. Moving on to Advanced Devices, fourth quarter 2007 Advanced Devices revenue was $28.8 million, up approximately 8% when compared to a revenue of $26.5 million in the fourth quarter of 2006. During the fourth quarter, sales of Applanix products were strong, while there was some softness in embedded product sales. Fourth quarter 2007 operating income in Advanced Devices was $3.7 million or 12.7% of revenue, compared to $1.4 million or 5.3% of revenue in the fourth quarter of 2006. Non-GAAP operating income in Advanced Devices was $4 million or 14% of revenue in the fourth quarter of 2007, compared to $1.8 million or 6.9% of revenue in the fourth quarter of 2006. Fiscal 2007 Advanced Devices revenue was $120.7 million, up approximately 17%, when compared to revenue of $102.9 million in 2006. Operating income in Advanced Devices was $17.3 million for 2007 or 14.3% of revenue, compared to $10.1 million or 9.8% of revenue in 2006. Non-GAAP operating income in Advanced Devices was $18.6 million or 15.4% of revenue in 2007, compared to $11.9 million or 11.6% of revenue in 2006. Margin expansion was driven by the full year impact of licensing revenue from Nokia and mix of products. For the overall company, gross margins for the fourth quarter of 2007 were 49.8% and excluding amortization of intangibles and stock-based compensation; non-GAAP gross margins were 51.6%. This compares to gross margin of 49.4% and non-GAAP gross margins of 50.4% in the fourth quarter of 2006. Gross margins for 2007 were 50.1% and excluding the amortization of intangibles and stock-based compensation, non-GAAP gross margins were 51.9%. This compares to gross margins of 49% and non-GAAP gross margins of 49.7% in 2006. Gross margins expanded both on the quarterly and yearly basis, due to new products, increased software sales and higher subscription revenue. Total non-GAAP operating expenses for the fourth quarter of 2007 came in at $108.1 million or 34.6% of revenue, compared to 35.2% of revenue in the fourth quarter of 2006. Total non-GAAP operating expenses for 2007 came in at $397.3 million or 32.5% of revenue compared to 32.4% of revenue in 2006. Non-operating income for the fourth quarter of 2007 was $1.3 million versus $4.7 million in the fourth quarter of 2006. The reduction was driven by higher interest expense and loss on foreign exchange transactions. Non-operating income for the full year 2007 was $5.5 million versus $12.7 million in 2006. The reduction was driven by higher interest expense, partially offset by increased joint venture profitability. Looking now at the balance sheet, we finished the fourth quarter of 2007 with $103.2 million in cash compared to $84.1 million in the prior quarter. Our debt levels, primarily from the @Road acquisition is $60.7 million, down from $81.1 million in the third quarter of 2007. The strong cash flow from operations resulted in reduction of debt and increased in cash balances. For the full year 2007, we generated $187 million of cash from operations, an increase of 38% over 2006. In the fourth quarter, net accounts receivables were $239.9 million compared to $242.6 million in the third quarter of 2007. More importantly, days sales outstanding declined to 70 days from 75 days in the prior quarter. The reduction was driven by a more linear quarter and better collections. All though days sales outstanding declined significantly versus prior quarter, we have seen a shift in our business to international this year. Internationally, the payment terms tend to be higher than the U.S. business. This change in mix causes an increase in our day of sales outstanding. Inventory was $143 million compared to $142.2 million in the third quarter of 2007. The turns were flat at 4.3 times. In the fourth quarter of 2007, our deferred revenue balance was $65.3 million, which was relatively flat compared to $65.6 million in the third quarter of 2007. Our deferred revenue balance was up 133% year-over-year from $28.1 million to $65.3 million. I will now talk about the guidance for 2008. In the first quarter of 2008, Trimble expects revenue to grow 17% to 19% compared to first quarter of 2007 with revenue between $334 million and $339 million. Trimble expects first quarter 2008 GAAP earnings per share between $0.26 and $0.28 and non-GAAP earnings per share between $0.33 and $0.35. Non-GAAP guidance for the first quarter of 2008 excludes the amortization of intangibles of $10.2 million related to previous acquisitions and the anticipated impact of stock-based compensation expenses of $3.7 million. Both GAAP and non-GAAP guidance use a 38% tax rate, compared to an actual 32% tax rate in the first quarter of 2007, and assume 127 million shares outstanding. For the full year of 2008, Trimble expects revenue to grow 14% to 17% compared to fiscal 2007, with revenue between $1.39 billion and $1.43 billion. Trimble expects 2008 non-GAAP earnings per share between $1.39 and $1.44. This assumes a non-GAAP margin expansion of 100 basis points in 2008, a tax rate of 38% and 129 million shares outstanding. Non-GAAP guidance for the full year excludes the amortization of intangibles of $41.2 million and the anticipated impact of stock-based compensation expense of $14.7 million. Including these impacts, Trimble expects 2008 GAAP earnings per share to be between $1.12 and $1.17. Last week, we also note that our Board has approved a stock buyback program of $250 million effective February 1st. Our first priority continues to be, invest our cash in the business through internal development or value enhancing strategic acquisitions. However, based on the current multi-year outlook, we believe we will generate cash in excess of those needs and returning that excess cash to our shareholders through a buyback program is the most effective mechanism to enhance shareholder value. Thank you and we will now take questions. Question And Answer
Operator: [Operator Instructions]. Your first question comes from Amit Kapur with Piper Jaffray.
Amit Kapur - Piper Jaffray: Hey, thanks a lot for taking my question. In terms of the E&C business, could you guys maybe update us in terms of the competitive environment and how you see the market share trending in 2008?
Steven W. Berglund - President and Chief Executive Officer: Well, I think I prefer to characterize where it is, and where isn't in 2007 and would characterize the trend as likely to continue into 2008. I think that the competitive environment for E&C remains largely the same as it has for a number of years. There are three principal players currently operating in that space, us with the number one share, Topcon and Leica which is now owned by Hexagon, and the three of us basically are the three principal players in that marketplace. I would describe our position as I would have for a number of years as being at the number one. If you look at our... if you look at the breakdown regionally, I believe we are doing comparatively better than the other players in the U.S. I believe we have taken significant market share in Europe recently and across the world, the picture isn't quite as clear, but I would say is that we are expanding aggressively internationally and we are seeing strong growth internationally. So, I would suspect, but really couldn't prove very comprehensively that we are taking share internationally. So I would say structurally, the market stays very much the same as it has for a number of years, I would say, as our net position is improving.
Amit Kapur - Piper Jaffray: Okay, great. And maybe a quick question on your guidance and Q1 looks like year-on-year, you are looking for revenue growth of 17% to 19% and then for the full year, 14% to 17%. So that implies maybe a little bit of a deceleration later in the year. Is that just caution with some of the macro economic volatility we are seeing out there or there are other factors at play?
Steven W. Berglund - President and Chief Executive Officer: Yes, I think that as always as we try to be sober and a bit cautious as a company I think we are still largely a book and burn business. So we don't have great visibility out into the second half of the year. So I think we're being very respectful of the commentary out there. And are talking about a number we believe is consistent with our internal view and I think we'll see what comes in the second half of the year. But again, I believe that we have established based on what we can see at this point of time is sober. Our sober view of the total year and again I think that we'll have to wait and see what comes in the second half of the year end to see if there is any volumes beyond these numbers.
Amit Kapur - Piper Jaffray: Sure, that's fair enough. Maybe one final question, in terms of the strong agricultural margins you reported, is that simply a matter of the strength in Ag offsetting some of the seasonality or is there something little bit more structural there?
Steven W. Berglund - President and Chief Executive Officer: I would say is... I wouldn't attribute any of it to any kind of structural changes within the agricultural business. Certainly as we grow revenues at a rapid rate, we're getting some scale advantage certainly. But pricing is not a factor, not the question you ask but a related question I guess is that pricing is comparatively steady. We are acting as a pricing leader at the low end of the market, not characteristic of Trimble. But we believe we have a cost position at the low end products in agriculture, the market has proven to be very elastic. So we are using our cost position to advantage there and our leading the way on pricing there, but otherwise there's really nothing structural from the cost end point or pricing standpoint, that's going on in agriculture.
Amit Kapur - Piper Jaffray: Great, thanks a lot guys.
Operator: Your next question comes from Benett Notman with Davenport & Co.
Benett Notman - Davenport & Company LLC: Thanks for taking my question. Could you just give a little more detail on the two deliverables that benefited the Mobile Solutions in the quarter and sort of if we should expect then some sort of drop off in the coming quarters and those who are behind us. That would be the first question. And then secondly, can you just talk about Mobile Solutions in general. I mean, we haven't seen any sort of large lead announcements or any of the type of things that we used to see from @Road since they came within Trimble, so I am just trying to get a feel for sort of how that business is progressing versus your milestones.
Steven W. Berglund - President and Chief Executive Officer: Yes, so I would say is that there were some what I would call... as we talked about for a number of quarters now is that, that business in particular and as result Trimble overall has become bit lumpier in terms of the revenues that reports from quarter-to-quarter and the fact that there is a need to kind of look at, if you will, rolling performance to get a real ideas for the trends in the company. So I would necessarily call it a drop off coming in the next couple of quarters because there is pipeline behind those items. I wouldn't necessarily say that... I would say that there were some one-time effects in the fourth quarter that may or may not be repeated in the first quarter or the second quarter, but again I would say is, it's part of an overall flow. As far as not announcing wins, I think what you're saying here is a bit of a contrast in corporate styles. It is not our style necessarily to go out with press releases on every win, we tend to be a bit more conservative that. So again, as we've been... since we entered this business in 2001, we've been saying watch the financials, don't necessarily watch the press releases and we're going to hold ourselves accountable to improving financial performance. Implicitly, asking the implicit question, have there been wins? Yes, there have been wins, have some of them been large, yes, but we haven't chosen to announce what they are.
Benett Notman - Davenport & Company LLC: Okay. And then just sort of clarifying a little on the first part, should we expect sequential growth from Mobile Solutions over the next couple of quarters or with the one-time items that happened, a significant enough that it's very challenging to grow off the most recent quarter of trend?
Steven W. Berglund - President and Chief Executive Officer: Again we don't give guidance by segment, and so I think I've said about as much as we mean to say at this point of time. But again, I would say, is over a period you will see a trend. The trend is upwards and we are kind to go on record in past quarter, as to what we expect out of that business.
Benett Notman - Davenport & Company LLC: All right, thank you very much.
Operator: Your next question comes from Paul Coster with JP Morgan.
Paul Coster - JP Morgan: Thank you, good afternoon. A sort of follow-up on engineering and construction. In two prior quarters, now you've had two separate issues. In one case, it was sort of regional softness and another it was an attempt to try and get the surveying segment of the market to stop buying your equipment. Can you just comment on those two aspects of engineering and construction?
Steven W. Berglund - President and Chief Executive Officer: Well, I think by and large, they've been the same this year. I would tend to look at them, the issue as surveying issues, we're throughout 2007, we're focused in the U.S. We have had outstanding growth outside of the U.S. But through out the year 2007, we have seen a bit of a struggle relative to the 2006 comparison. So I would say is that the market... overall market conditions, the background of the market conditions did not approve... did not improve in the U.S. in the fourth quarter. But I would say is that further surveying is... surveying business really much the same in the fourth quarter in terms of the general market conditions in the U.S. And what I would say is that a lot of that comparison has been against 2006. So the relative struggle we've had throughout 2007 both for surveying instruments and for E&C in total, as we have been comparing ourselves against a spectacularly probably historically unprecedented 2006, which was exceptionally strong in the U.S. followed by a 2007 where market conditions changed. The part of the calculation going into 2008 as we now comparing ourselves year-to-year against the 2007 and frankly, the baseline becomes a bit easier. So I would say is that in reality, nothing in terms of the general market changed all that much in the fourth quarter. We are in the U.S. for surveying or for E&C in general, is not as robust certainly as it was in 2006. But again, we've taken a number of actions in terms of focusing distribution, in terms of our relative corporate focus to count our after market and our basic premises that in hard times productivity is still... productivity may actually be of more value than good times and therefore best of premise we are taking to the market place and we are not going to sit out the slowness in the U.S. We intend to come back... continue to come back with options for the marketplace and sell through this.
Paul Coster - JP Morgan: Got it. And this can be some cap... many believe there might be capital rationing or actually especially associated with sort of housing starts businesses and possibly with some commercial real estate. Are you in a position to parameterize the business in North America... the economically sensitive business as a percentage of your overall and E&C business, can you even guess of that?
Steven W. Berglund - President and Chief Executive Officer: Yes, I am not, can you repeat that question, I guess --
Paul Coster - JP Morgan: I guess what I am trying to get to Steve is, we are trying to figure out how much of your E&C business domestically is exposed to the most, sort of economically vulnerable cost of engineering, construction and housing starts and all those related to that obviously the most?
Steven W. Berglund - President and Chief Executive Officer: Yes. Well, as we kind of pointed out repeatedly over time is that our relative priority in E&C in terms of the businesses that are most important for us in E&C, the dynamic allotments are in E&C are heavy and highway, which tends to be ultimately driven by government spending, both federal and state level, followed by large scale commercial, followed by smaller scale commercial, the strip malls and such and finally housing and effectively, probably in the third quarter of 2005 we took our crumble in related to housing and that's been internalized now for over a year, so housing starts are not a primary concern for us in terms of looking at this business. And just, back to this establishing the baseline, the thing is that our housing related products actually in the latter part of '07 were actually comparatively robust against 2006 as back to the sell through pieces is that, I think the slide stocks related to housing, again a fourth order business for us, at some point in mid 2007 and we are actually seeing comparative, underlying comparative strength there. But again, heavy and highway, large scale commercial, small scale commercial and then housing are the relative sequence of markets that are most important to us.
Paul Coster - JP Morgan: That's helpful, thank you. And then lastly, outside of the U.S. E&C once again, are there any catalysts, regulations, any countries that you think you could highlight to us that are experiencing exceptional growth at the moment and you feel that there is very strong momentum and we should be monitoring those nations or regulations or events?
Steven W. Berglund - President and Chief Executive Officer: Yes frankly for 2007, I think you can almost take a... put on a blindfold and throw a dart at a globe and probably hit a market that's competitively strong. So, at this point in time, if you can scan the world, so China still strong, India from a low base is very strong, Middle East is in some respects red hot, South Africa hot, but then we are seeing significant potential from a relatively small base, but we are seeing significant potential, lots of activity in Africa outside of South Africa as development money is moving into there, they're building infrastructure. They are putting a whole lot of emphasis on establishing what property boundaries are in such, entering a lot of fundamental effort, developments in terms of surveying. Russia is strong, Eastern Europe is very strong and Western Europe has been a good market for us for '07. So, at the moment maybe with the possible exclusion of some countries in Latin America, what we are seeing is growth pretty much everywhere outside the U.S.
Paul Coster - JP Morgan: All right.
Steven W. Berglund - President and Chief Executive Officer: Including Canada very emphatically.
Paul Coster - JP Morgan: There are no events or regulations that we should be aware of that might change things positively or negatively?
Steven W. Berglund - President and Chief Executive Officer: Not that I am aware of, so if you discover any, please let me know.
Paul Coster - JP Morgan: Okay, thanks very much.
Operator: Your next question comes from Yair Reiner with Oppenheimer.
Yair Reiner - Oppenheimer: Good afternoon. Just a couple of questions from me; first, again on E&C. You mentioned during the last call that the quarter began very strongly. I was just wondering if you can give us any sense of linearity and kind of what you've been hearing from your customers in the last couple of months and if you have taken their pulse of late, what are you feeling?
Steven W. Berglund - President and Chief Executive Officer: Right. So, again in the October call, which was probably a little shorter than the third, all the way through the quarter as we expressed a certain amount of optimism about the quarter and I think as you can see that the entire quarter continued to represent that optimism. So there were no linear effects. We spoke to linear effects in the third quarter in terms of July and August having different behavior than September; I would not characterize the fourth quarter in anyway in that fashion. Okay, in terms of kind of up-to-date, the customer's sentiment, I think what I would point to is last week, there was the World of Concrete, which is a trade show aimed at certain classes of contractors. We participated in that show, and frankly, our people came away from that show very optimistic, very buoyant in terms of it's a show that we sell off of and frankly our sales after that show, I am not totally current in terms of just where we ended up, but we believe that we either equaled or probably exceeded last year and certainly ... which was a record. So there is a bit of a paradox here in terms of just what is going on in terms of the construction economy. So, you wouldn't... if I have taken my cue from Long Street I would have expected a lot of negatives and doom and gloom at that trade show, but in reality what we saw was a lot of comparative optimism or expectations of growth. So one data point, but I think may be it's representative is that it's not all way in this economy, but there are if you will, paradoxes but it is not all doom gloom out there.
Paul Coster - JP Morgan: Fair enough, optimism on time Las Vegas as we all know. One more question --
Steven W. Berglund - President and Chief Executive Officer: That depends on whether you are a winner or loser, doesn't it?
Paul Coster - JP Morgan: Indeed, indeed. One more question, in terms of the Mobile Solutions business, what's your feeling about the economic sensitivity of that part of your business and is that something that you think that continues to grow even if we do get some economic macro headwinds next year, or rather this year?
Steven W. Berglund - President and Chief Executive Officer: Well again I'll have to... and all into actual honesty say, it's a relatively new game for us. So, unlike construction, unlike surveying, unlike agriculture, I can't point back to our experience in 2001 and 2002 to give us any pointers in terms what happens, when. Now I will give you my believe system though relative to that market and again, with the idea that... okay, if you look at the customers base there, okay, there are some big players that have significant balance sheets, who are absolutely driven at this point of time by the concept of improving operations and really see the management of the mobile worker, the mobile asset as being absolutely key to their transformation programs. And this is again an international phenomenon. So I think that first of all, let's call it, the large scale customers, they have balance sheet. They will be if there are harder times, they would be even more driven to drive cost out of their operation and using technology as a way to do it is I think the comparatively small investment against the greater scheme of things. And I think that there, I wouldn't expect hard times necessary to push back and again the level of capital investment here to buy our stock is not huge. The ROIs are comparatively in relative terms instantaneous, so I think that we still stay at the high end of priority list even during harder time. Then I suppose there is a middle class or a lower level here of something more moderate sized companies. It's a fair question in terms of if there is a push back from the economy, what will happen? But I would argue that the same thinking takes place, which is we can go and the paper and pencil demonstrate an ROI. We can replace few well other costs with our technology, we can actually demonstrate, we can take cost out during hard times and so again, I think that if we were talking of high ticket item, if we were selling a high ticket item that I would say, yes. When we start to allocate capital, we might take a hit. But again, looking at the level of investment required to put in what we were selling in the equipments of the return on that, I would say that we can sell through that. Again we will have to wait for objective evidence, if and when we do encounter that slowdown you are referring to. The other thing just again answering a question you didn't ask, which is I think one of the things for our Mobile Solutions segment in '08 is that that's far for both @Road side and the Trimble Mobil Solutions side is we... this has been largely a U.S centric business until recently. We are taking this business international in an aggressive fashion. Just in the last few months, we've done a number of things. So to the extend that you buy into the thesis, but there is a whole lot of investment going on internationally that there is a whole lot of infrastructure development. During '08, not talking about '09, but talking about '08, there should be a noticeable effect on the results of our Mobile Solution segment there as well.
Paul Coster - JP Morgan: Thank you. I will get back in the queue.
Operator: Your next question comes from Corey Tobin with William Blair & Company.
Corey Tobin - William Blair & Company: Good afternoon, congrats on nice quarter. A couple of things I want to hear, let's start with the E&C growth. Steve, in your remarks you mentioned that the E&C growth was domestically lower Q4 versus Q3. I wanted to just check to see if I heard that correctly? And also is there any way we can... I know you don't want to give growth by segment or by geographic region, but is there any way that we could get a feel for the order of magnitude in terms of how large that trend was?
Steven W. Berglund - President and Chief Executive Officer: So I think you got it backwards is that fourth in E&C in the third quarter the growth was year-to-year was 12%, in the fourth quarter it was 17%. So we had projected that in October that we would see a bounce in E&C in the fourth quarter from third quarter. So actually year-over-year growth in E&C accelerated in the fourth quarter over that we saw in third quarter. Now again, it's a mix of international, U.S., it's a mix of different product areas but we don't give guidance by segment, but obviously, we continued to in an overall sense view E&C as being a growth business. We believe E&C will be a growth business in '08 and will contribute a large part of that 14% to 17% revenue growth in '08. So, yes, the U.S. is a slower market than it was in '06. It will continue to be in our view slower throughout 2008. We are counteracting that in U.S. as much as we can, but we also see the international picking up the pace. So, kind of what you see in the second half of '07 is right now kind of what we are expecting for '08 for E&C.
Corey Tobin - William Blair & Company: I am sorry, may be I didn't ask the question correctly, I was referring to growth in E&C in the domestic market in the U.S. Was growth in the U.S. down in the fourth quarter, or lower growth rate in the fourth quarter versus the third quarter? I thought in your prepared comments, you mentioned that or probably later on.
Rajat Bahri - Chief Financial Officer: Steve, no, that means Steve actually mentioned that our growth rate went from 12% in Q3 to 17% and the growth rates was higher in both domestic as well as international to come to that 17%. Not slower in the U.S. in Q4 versus Q3.
Corey Tobin - William Blair & Company: Okay, understood, thank you. And then finally, on the same topic rather, the number you have assumed for 2008 in the U.S. is consistent with what we saw in the second half of this year, is that, did I hear it correctly?
Steven W. Berglund - President and Chief Executive Officer: Yes, I am not being that specific, but I am saying again is that, I think that we believe that we... is that what that we've internalized a lot of what's going on or most of all of what's going on in the U.S at this moment in time, we internalize that in the second half of the year. So unless things significantly worsen through the U.S., which is always possible but not yet evident, I am just suggesting as a guideline is that what you do is take the second half of E&C, year-over-year and project that forward. That's kind of what we are doing and that's our internal expectation subject to some more data about what might happen out there.
Corey Tobin - William Blair & Company: Okay, great. Shifting to the profitability side, it looks like margins in the fourth quarter for E&C dipped a little bit year-over-year. Any comment on that, are there any particular drivers that might be worth calling out?
Rajat Bahri - Chief Financial Officer: Yes, a couple of things, so if you look at full year E&C margins, they were significantly up in the fiscal year. What we are comparing is the Q4 of '06 was extraordinary a rich quarter from a product mix point of view. So product mix accounted for a little bit in Q4 particularly and we had some acquisitions like Meridian and XYZ that are still a drag on the E&C businesses year-over-year. So those and a combination of those two things drove the margins for Q4, but as I said, it was just one quarter. If you look at the full year picture, it was still up and so that's the answer there.
Steven W. Berglund - President and Chief Executive Officer: And adding to that again, asking at your question or answering a question you didn't asked. So structurally, the business in terms of margins nothing has happened structurally to that business. Pricing, pricing is on... was effectively unchanged in the fourth quarter to prior quarters, so nothing is going on there, nothing is going on from a cost point. So by and large it's called short term perturbations of year-to-year comparisons.
Corey Tobin - William Blair & Company: And as we look ahead to next year for operating margin in this segment, should we continue to expect sort of your normal trend upward into 2008?
Steven W. Berglund - President and Chief Executive Officer: Yes, I think that's the right way to look at it. In any given quarter, there might be again a perturbation because we are continuing to make some investments and in fact, we have stepped up our investment level in some cases. So in any given quarter, there might be a perturbation, but for the full year I would say that you continue to expect those are some margin improvements, particularly if some of these acquisitions start to contribute more to the party.
Corey Tobin - William Blair & Company: Great. And the last one if I could please, on the DSOs I understand the greater international mix impacting them a bit. Where would you say you would expect them to... have they stabilized at this level or would you expect them to continue to trend higher throughout '08, if you would expect international to grow in the fashion of domestic market? And what's a good target that we should be thinking about for the year?
Rajat Bahri - Chief Financial Officer: I mean this year we clearly have taken a step up because of the mix of international sales being higher. So it depends, next year if international continues to outpace the domestic growth, the U.S. growth then we would start... we still see just a mix of price will shift to international and hence the DSOs may start creeping up because of that. But no changes in the payment terms, just the mix of the business.
Corey Tobin - William Blair & Company: Okay, great. But there is no... any particular target that you are looking at, with respect to sort of where it could be a year from now?
Rajat Bahri - Chief Financial Officer: Yes, we always try to balance it with better collections. So if the international business grows and the domestic... U.S. business is flat lined, you could potentially see a three four days increase because of that.
Corey Tobin - William Blair & Company: Understood, great. Thank you very much.
Operator: Your next question comes from Jeff Rath with Canaccord Adams.
Jeff Rath - Canaccord Adams: Questions here, I was wondering if you could give me some color as to the impact acquisitions would have on your revenue growth guidance for 2008. And you've given us a range here... you don't typically do that, but can you give you some order of magnitude there?
Rajat Bahri - Chief Financial Officer: If you know, Jeff I will try to give you some color around it, but once we begin with acquisitions we kind of, what's acquisition and what's not acquisition get hard to measure because we do integrate technologies, we do integrate product, we use cost... use each others channels as well. So, that's why we kind of try to stay away from giving some magnitude around it. The only thing @Road was a unique one, we did quantify @Road because it was a big acquisition. Everything else is very small acquisitions, they are technology tuck-ins and they are baked into our growth rate, the guidance that we give. If you look at historically, over the last four or five years, they have probably contributed 2 to 3 points of growth. So if you look at last five years excluding @Road, we have grown around 20%, probably 2 to 3 points of that has been due to acquisitions, excluding @Road.
Jeff Rath - Canaccord Adams: Okay. Looking again your segmented revenue breakdowns, you don't guide on that basis, is there any color you can maybe give us around your Field Solutions business, you came off a tremendous year here, 44% annual growth. Any way we should think about that, are we looking at a market in '08 that could sustain those growth rates or do you think that that has to come down just based on overall tougher comps next year? Any color around that would be helpful.
Steven W. Berglund - President and Chief Executive Officer: I think that... I guess there is a bit of it. Internally, we're waiting to see just how good it could it be in '08. Certainly, I don't think what we would be doing here would be saying you should bank, if it was 44% for the year, I don't think you should bank that because that... maintaining that kind of growth rate over a period of time is very difficult. So, I, again we don't give guidance at that level, but let's just say we're still banking on a very robust agriculture economy and which seems to be borne out by other players in the agricultural economy even having metal types. And so we're counting on let's just say, another excellent year with very strong double-digit growth that I'm not going to sign-up for another 44% a year if that's what it was.
Jeff Rath - Canaccord Adams: Okay, thanks very much.
Operator: Your next question comes from Jeff Evanson with Dougherty and Company.
Jeffrey Evanson - Dougherty & Company LLC: You know when you guys make me wait this long to ask questions, I just come up with more.
Steven W. Berglund - President and Chief Executive Officer: Go ahead Jeff.
Jeffrey Evanson - Dougherty & Company LLC: Yes, sorry.
Steven W. Berglund - President and Chief Executive Officer: Waiting for you.
Jeffrey Evanson - Dougherty & Company LLC: Yes. So let's start with the guidance, I've got a couple of questions around that. If I figure out just kind of roughly what it's going to add to your Q1 growth to anniversary this @Road acquisition, it seems like that probably adds 5% to 7% to your annual, to your year-over-year growth rates. So that actually looks to me like your guidance excluding that is for accelerating growth. What am I missing there? Accelerating growth throughout 2008.
Steven W. Berglund - President and Chief Executive Officer: So, you know your right that we have a full year impact of @Road acquisition in Q1 and I'll have to come back again to do it later on as to what that impact is. I'll have to go and, let's talk that Jeff on one-on-one. But yes, there is definitely full year impact.
Jeffrey Evanson - Dougherty & Company LLC: So let me twist that question slightly and ask you, do you expect your business climate to improve throughout 2008?
Steven W. Berglund - President and Chief Executive Officer: No, the answer is no. I guess what we are basically postulating here today is that the environment is [Technical difficulty] It has to dramatically worsen from current level if the international account stays robust. But factoring in this is kind of business by business is what I would call, yes, an improving climate because but we can't talk about today is new products, we can't talk about other changes to the business we might be making in '08. So in general, we're very... whatever the macro economy may be and then it perfect illustrates, we are very pleased with our relative competitive positioning. We're pleased with what we've got in the pipeline, both from a product standpoint, from a business development standpoint, and in terms of other elements of execution. So I wouldn't characterize it as the next... that we're not counting on any real net change in the external environment. But we are pretty confident about the actions that we can take both in terms of developing new businesses, developing our existing businesses and the fact that that will likely have a positive effect as the year goes on. So probably where are you characterizing?
Rajat Bahri - Chief Financial Officer: Yes, I mean Jeff; we have guidance of 17% to 19%, so @Road, if you add full quarter, there is probably impact of three to four points there. So if you take that out, you have 14% to 17% guidance growth rate, which is consistent with the full year guidance. So I won't say we are accelerating. We are probably giving the same guidance in Q1 as the fiscal full year.
Jeffrey Evanson - Dougherty & Company LLC: Okay, so tell me what's driving the higher tax rate in '08?
Rajat Bahri - Chief Financial Officer: Well, in tax rate in general, there is lot of moving pieces. There is R&D credits, there is manufacturing deductions. There is how the mix of international profits shape up, and generally we don't have anything structural in place, so typically federal tax is of 35%, and your state income tax tends to be two to three points. So at this point, our best guess is 38%. This year, we did get some benefits in terms of higher R&D credits and so forth, so we averaged to 36 this year, so we are calling for 38 and we're going to look at opportunities as we move through the year to see if we can come lower than that.
Jeffrey Evanson - Dougherty & Company LLC: So should I interpret that answer to mean you may spend less on R& D this year?
Rajat Bahri - Chief Financial Officer: No. It's a very complicated calculation in terms of how much R&D credits we have used in the past and what it was versus the base years. So, it's not as... our R&D is actually expenses going up year-over-year. It's how much credits you have used, how much are remaining. It all depends upon that. And so you are not calling for --
Jeffrey Evanson - Dougherty & Company LLC: That's enough on taxes Raj, thanks.
Rajat Bahri - Chief Financial Officer: Okay.
Jeffrey Evanson - Dougherty & Company LLC: Okay. So EU you had dramatic acceleration in your growth from Q3 to Q4. Was the EU growth impacted by some significant one-time sales?
Steven W. Berglund - President and Chief Executive Officer: No, I don't believe there were any significant one-time sales that would account for the quarter-to-quarter, I think it's some simply business as usual.
Jeffrey Evanson - Dougherty & Company LLC: I mean the economy over there is not growing 52%. You must be really building out a lot of distribution or what's going on in the EU?
Steven W. Berglund - President and Chief Executive Officer: Well, I mean just characterizing in... just characterizing some of this as numerically meaningful, some of it isn't. So for example, if during the quarter or either late third quarter, during fourth quarter, for example on the Mobile Solutions side is @Road, which did have more of a European presence than Trimble had on Mobile Solutions took TrimWeb... the Trimble product brought it to market in Europe. So, if that is not numerically significant at this point of time but did add a certain amount of back round and started building a subscriber base in Europe really for the first time as the company using few of the synergistic effect of Trimble and @Road. Agriculture is after a number of years of kind of waiting in '07 starting to getting interesting in Europe. Western Europe is... provide the backdrop environmental regulations, environmental pressures are increasing, are creating an attractive market for agriculture in Western Europe, but Eastern Europe is getting very interesting because thanks to the prior political regimes there, the farms tend to be large, larger than in Western Europe and as we apply kind of up to date management practice to those farms is what we are saying as a very robust market for Eastern Europe; Ukraine, Russia, Poland and so, that's contributing some there. I think that when it comes to E&C again, there is a more of a growth environment in Europe than we have really seen though the last decade. Yes, may be a little spotty, but there against the backdrop of kind of a little, let's call it more optimism than in U.S. we've made a number of changes during the course of the year in terms distribution, we're intensifying our moves into distribution, I think net-net our distribution channel is significantly better in Europe than it was a year ago. And again, the Eastern Europe, European play also plays out relative to E&C in terms of some markets that are fundamentally less developed than the Western European markets and as result, we are able... we got more unpenetrated space in the east to go after, than we did in the west. So, I don't think there is any one thing that I would point out, point out relative to Europe, I think it's a lot of relatively little things that come together.
Jeffrey Evanson - Dougherty & Company LLC: That's great. Now conversely APAC growing 24%, I can't imagine you find that an acceptable growth rate Steve, what are your plans there?
Steven W. Berglund - President and Chief Executive Officer: Again I kind of point to year-over-year there may be some statistical phase there, because China does tend to place larger orders in any point in time. So I tend to... I tend to look at the full year, where I think the growth rate was more like 30% in Asia Pacific and again there is Asia and then there is Pacific. I believe we are probably including Australia, New Zealand in that number. Australia is actually a significant number in that mix. If you actually looked it, we broke out if you will, Asia from Pacific in that case, it is what your are going to see is comparatively slower growth in New Zealand and Australia as you would expect and in a much more dynamic growth relative at the Asia, whether it be Southeast Asia, China, India. And so, again I think the aggregated number hides a little bit of the trend now.
Jeffrey Evanson - Dougherty & Company LLC: Did you have some major orders in China that push from Q4 to Q1?
Steven W. Berglund - President and Chief Executive Officer: No, again I don't, there is nothing that I can think of that would attribute anything. I'm just saying it's probably to get the real trend look at the full year as opposed suppose to the quarter number because the quarter number moves slightly around a little bit. I think the EBITDA half year or the full year number probably provides a little bit more certainty relative to actually what the trend looks like.
Jeffrey Evanson - Dougherty & Company LLC: All right, that sounds good. Adjust... I have got your adjusted E&C operating margins down 70 basis points year-over-year. Is that roughly correct?
Rajat Bahri - Chief Financial Officer: That's right.
Jeffrey Evanson - Dougherty & Company LLC: And you say that's a both mix and these acquisitions. So when do we get rid of the acquisitions in the count there and their unfortunate impact. Will that go away in Q1?
Rajat Bahri - Chief Financial Officer: There is two impacts, one with the product mix. Last year, Q4 was much... if you look at Q4 of '06 versus Q4 of '05, there is a significant margin expansion. And so, I don't know if it will go away in Q1 or Q2 but for full year it will definitely go away.
Steven W. Berglund - President and Chief Executive Officer: Again Jeff, I'd be kind of pointing out either the half or the full year provides kind of better understanding and I think on the full year earnings we should show strong progression on margins, which I think probably represents a better baseline to use.
Jeffrey Evanson - Dougherty & Company LLC: So in E&C there Steve, what products sold particularly well in Q4 that hurt the mix?
Steven W. Berglund - President and Chief Executive Officer: Well, okay, so I would say its one thing, again I am afraid I am not sure that I can point kind of numerical effect. But as I said earlier is that what we saw was again comparatively stronger performance there. Let's talk of housing related products in the latter part of '07, so again, we kind of flushed it through earlier and the year-to-year performance for the housing related products which would be things like rotating light, lasers and such, actually done a stronger performance in the second half of '07. Those rotating lasers carry with them fundamentally lower gross and lower operating margins than other products. So in the background, those were having some effect. How... again, how numerically significant that was, I couldn't tell you, I am afraid here. But again I would say is don't focus too much on the fourth quarter, that was as much of matter of arithmetic. Nothing structural changed in that business really relative to pacing or cost, it was product mix in the fourth quarter and I would suspect in the first half of '08, it will return to kind of a normalized pattern.
Jeffrey Evanson - Dougherty & Company LLC: Okay so --
Rajat Bahri - Chief Financial Officer: So Jeff can you please --
Jeffrey Evanson - Dougherty & Company LLC: So it brings me to my key question here. I mean we have adjusted OMs for the year up 210 bps, we've got adjusted OMs for the quarter up 200 bps, but the guidance is for up a 100 bps. Are you just being conservative?
Rajat Bahri - Chief Financial Officer: I mean we have always said we will target 25% of... 20% to 25% operating leverage and this year we did expand our operating margins by 200 basis points. And 100 basis points is what we believe is the realistic guidance which leaves enough money for investment in the business. Our history would suggest that we have beaten that number.
Jeffrey Evanson - Dougherty & Company LLC: Yes.
Steven W. Berglund - President and Chief Executive Officer: And again as I said earlier is that the total year, back half for the year is still not totally transparent to us. And so I think going again listening to Wall Street and the talk about economic conditions I think, yes, we kept ourselves from discussion given the market condition and that margin improvement being hedged in order to call flexibility, I think that's a reasonable premise.
Jeffrey Evanson - Dougherty & Company LLC: Okay. Before I bore everyone to death, I'll hold it to one more question. It looks like your core TMS, in other words, your pre-@Road business was actually down year-over-year 5% to 10%. What's going on there?
Jeffrey Evanson - Dougherty & Company LLC: I am not sure that's a good number. I think what has happened is that, starting really at the very beginning of the fourth quarter or end of third quarter, we, after running @Road pretty independently, the acquisition of those two organizations have been very much brought together and very much integrated and so for example, the productivity business which is called the kind of more mom and pop business, not the large scale business, the two operations there have been brought together. So I think relative to fourth quarter, I think it would be even hard for us to pull out one number, that's @Road and another number that's Trimble. Now I think the... the thing I didn't necessarily, I didn't actually address in the script that I had addressed in prior two or three quarters, is the fact that, well, let me break down the... since you've raised it... let me break down the historical Trimble business there a little bit. So already next concrete kind of a flagship application, that's one of these businesses that we are taking international very aggressively. So both Asia Pacific and Europe in the fourth quarter, we had meaningful activity that we'll start to translating into meaningful numbers during the course of the year. That we... at least the second and third quarters we have talked to the fact that we didn't in the Field Service segment or direct store delivery, we didn't really have a whole lot sale in 2007 because of a product transition. That we brought our product now, we now have a solution we refer to as Version 4, that's out in the marketplace. We expect that to... we are engaged with the marketplace, we are building a pipeline and we actually expect that business to turn around significantly in '08. So I don't think... I am not sure your number is actually right. In fact, I don't think it's right. But at the same time, I don't think the distinction between @Road and our historical TMS is actually a meaningful break any longer.
Jeffrey Evanson - Dougherty & Company LLC: All right. Well congratulations on the great quarter. It doesn't look like you are going out of business any time soon.
Steven W. Berglund - President and Chief Executive Officer: That spells on your...
Jeffrey Evanson - Dougherty & Company LLC: It's a joke.
Steven W. Berglund - President and Chief Executive Officer: That better be a joke then.
Operator: Your next question comes from Peter Friedland with Soleil
Peter Friedland - Soleil: Hey guys, just a quick here. You have the share count going up a fair amount in '08 versus '07 and is that from acquisitions that you have already announced this year? And then what about the share repurchase you think, you'd see the shares go a down a bit, so, what's like, you think about that?
Rajat Bahri - Chief Financial Officer: Yes, I think the share count is going up, we have the full year impact of showing @Road shares versus not having full year impact in '07. That's one of the reasons. And then no, we don't have baked in any impact of buyback. So to the extend, we buyback shares then that depends upon a lot of different factors, cash availability and the price and all and so forth, that should reduce the share count.
Peter Friedland - Soleil: And as far as the acquisitions that you already announced so far this year. Then would say rough order of magnitude, still a bit, it sort of cost us all of them?
Rajat Bahri - Chief Financial Officer: Those are all in the same range as we have done historically. Our historical range could be if you look at the acquisitions they could be any where from $5 million to $30 million and we will continue to do acquisitions, our pipeline in that range right now and what we have announced is all in that range.
Peter Friedland - Soleil: Got it. Thank you.
Operator: Your next question comes from Eli Lustgarten with Longbow Research.
Eli Lustgarten - Longbow Research: Hello, I am great here, every body okay?
Steven W. Berglund - President and Chief Executive Officer: We got a three hour time advantage to you Eli.
Eli Lustgarten - Longbow Research: Yes I know, I know actually only two for me. One clarification very quickly, are you assuming an R&D tax credit in '08 right now in your 8% guidance?
Rajat Bahri - Chief Financial Officer: We are assuming the tax credit in '08 for that.
Eli Lustgarten - Longbow Research: Okay, so you are assuming that there will be tax, I've seen your guidance at this point.
Steven W. Berglund - President and Chief Executive Officer: Yes.
Eli Lustgarten - Longbow Research: How much was currency in the quarter from the year?
Rajat Bahri - Chief Financial Officer: On the operating as the dollar weakens, we will get benefit on the revenue side, but on the operating income side we are pretty close to hedge, actually it hurts us a little bit as dollar weakens because we have lot of expenses in Europe, in Sweden in New Zealand in Germany. So operating, but they are not material to our numbers. So we don't talk about it.
Eli Lustgarten - Longbow Research: In the sales number, I mean with the big sales gain you have 4%, 5% currency as most people did?
Rajat Bahri - Chief Financial Officer: 4%, 5% no, no, we probably have 1 point or 2 point something like that.
Eli Lustgarten - Longbow Research: So ultimately before that -- [Multiple speakers]
Rajat Bahri - Chief Financial Officer: For the year, yes.
Eli Lustgarten - Longbow Research: Okay. Joint venture income which went down in the fourth quarter you mentioned something, can you talk about what happened in the fourth quarter with the JV income and what do you expect for '08?
Rajat Bahri - Chief Financial Officer: Yes, to be precise the foreign exchange impact was 2 points for the full year.
Eli Lustgarten - Longbow Research: I am sorry.
Rajat Bahri - Chief Financial Officer: The foreign exchange was 2 points for the full year.
Eli Lustgarten - Longbow Research: Okay. And the JV income?
Rajat Bahri - Chief Financial Officer: What was the question like, any way, does that --
Eli Lustgarten - Longbow Research: The JV income was down in the fourth quarter?
Rajat Bahri - Chief Financial Officer: Yes, it did. If you look at full year, it went up. We had a one-time favorability last year, where some we get... got some favorability from the warranty as well as in Q4. We have been accounting for warranty also in the quarter and then need the money. So we got a $1 million, a significant benefit in Q4 of last year. This was not... have been in Q4 of this year.
Eli Lustgarten - Longbow Research: You didn't have a warranty in '08 versus '07 I assume?
Rajat Bahri - Chief Financial Officer: That's right.
Eli Lustgarten - Longbow Research: Okay, great. So it doesn't change?
Rajat Bahri - Chief Financial Officer: So the revenue was up significantly, but we didn't get the benefit on the bottom line because... well, the profitability declined because we had a warranty favorability in '06 that might repeat itself in '07.
Eli Lustgarten - Longbow Research: Now are you obsessed a lot by the Caterpillar inventory liquidation that went on all year and that was the gross rate will give you a better width in '08 than '07?
Steven W. Berglund - President and Chief Executive Officer: No, I think basically, that had... they had no effect either for the JV or for Trimble, so I would call it de minimus at best.
Eli Lustgarten - Longbow Research: Okay. And you talk about in the press release a potential for the Mobile Solutions business and then you talk about bringing Europe, bring it overseas, is your really reference to get the expected double-digit margin, is that the potential that you are talking about as opposed to the top line growth?
Steven W. Berglund - President and Chief Executive Officer: For Mobile Solutions?
Eli Lustgarten - Longbow Research: Yes.
Steven W. Berglund - President and Chief Executive Officer: Internationally?
Eli Lustgarten - Longbow Research: Yes, well just for the whole sector.
Steven W. Berglund - President and Chief Executive Officer: Yes.
Eli Lustgarten - Longbow Research: Which still came out still up to single-digit numbers. I am talking about the potential for '08 and that's... is that the go rate to get to meaningful double-digit margins in that business in '08?
Steven W. Berglund - President and Chief Executive Officer: Yes. So I mean, I think we just reported for that segment for the quarter 14.8% as I remember operating margins. So obviously, and I think at the time we bought @Road is we talked in terms of getting @Road up to Trimble averages, let's call it Trimble average non-GAAP approaching 20% at this point of time. We talked about getting @Road up to the Trimble average within three years, I think it was and certainly we're well on our way there. Now, if we step back and look at that business from an operating margin standpoint, a software rich business profitability run is I would say is that business maybe not in '08 but in '09, '010, should be improving the Trimble average because fundamentally we view that as being a software business profitably run as having the potential for operating margins of 25% plus. And so that's our investment pieces here. And so far, we're on our way to getting that if you look at the progression of that business over time. I mean that business made money for the first time in the fourth quarter of 2005. So from a call it a breakeven position in fourth quarter of '05 two years later, we're now comfortably talking about double-digit operating margins there with significant capacity to improve those margins. So what we're looking out of that business is both top line growth and margin, operating profits growing significantly faster than that revenue growth.
Eli Lustgarten - Longbow Research: Okay. At what caused the tax rate to be down in the fourth quarter of versus say, was it... it was a surprise a bit, you know that I know to bring the average year gap from 37 to 36. But I guess what you expect is more closer to 38%, 39% tax rate in the fourth quarter and you are under the 35%.
Rajat Bahri - Chief Financial Officer: Yes, we have forecasted 38% and we came at 35%. Yes, we look at all the time kind of the provision in terms of what are the accruals, what is the effect, what our true-up has been on the federal tax returns and those are what we accrued. And as we look at all the accruals, we were... we made an adjustment to that. That had an impact of lowering the tax rate.
Eli Lustgarten - Longbow Research: And there is, is pricing minimal also... do you have a pricing number for '07, and what the pricing for '08, is something your guidance says also?
Steven W. Berglund - President and Chief Executive Officer: Pricing what product?
Eli Lustgarten - Longbow Research: You know real price impact? I am talking about the price impact on your numbers at all?
Steven W. Berglund - President and Chief Executive Officer: Yes, well I think, let me put it this way is that is a... any question that's unique to each individual business, we don't prescribe what's called a top down view of what's happening in the world. We let each business define that in the context of the market now. What I would characterize as being the case is that okay, we are not... we have not been for a number, any number of years subjected to what I would call significant pricing pressure. There is... being in a electronics world, electronics related world, yes, there is pricing pressure, but have we seen step functions now. And with a couple of exceptions and I actually pointed out one earlier, which is at the low-end agriculture product is where we have led the way on that one. But what we have typically seen and what we have typically used as our pricing paradigm here is that over time you see us come out with products with higher functionality that may retain the price more or less the price level of the prior generation products. So essentially, what the user is getting is significantly more functionality for the same price. I think that's the workable phenomenon in most of these markets at this point in time. And I think we pursue that from a marketing standpoint, which is deliver more value to the user, but not necessarily through the kind of the blunt instrument mechanism of simply reducing price.
Eli Lustgarten - Longbow Research: All right thank you.
Steven W. Berglund - President and Chief Executive Officer: Thank you.
Operator: Your next question comes from Scott Sutherland with Wedbush Morgan.
Scott Sutherland - Wedbush Morgan: Good afternoon
Steven W. Berglund - President and Chief Executive Officer: Good afternoon.
Scott Sutherland - Wedbush Morgan: Couple of questions here, when you look at your guidance, especially on the E&C segments, I mean how much are you incorporating any sort of conservatism for spreading that macro conditions to Europe or other countries and maybe you spreading into the small, commercial or large commercial construction projects?
Steven W. Berglund - President and Chief Executive Officer: I think we've tried to be fairly clear on that which is why we are modeling at this point in time is what's called a picture for 2008 that looks kind of like a snapshot as it exists at this point in time, particularly as it relates to the international markets. We don't employ economists, we take the market as we find it, we react to that marketplace, we stay intimate with that marketplace, so I would say is that at this point in time, we are not kind of building an significant sophistication related to economic conditions, we will play it as it comes an we will just try to be as transparent on that as we see it.
Scott Sutherland - Wedbush Morgan: Your OpEx went up in the quarter sequentially, how much of that is from foreign exchange, how much is that reinvestment or maybe charging to your international markets more, some of these segments?
Rajat Bahri - Chief Financial Officer: So Q4 tends to be seasonally a higher OpEx quarter versus Q3. We have some big user conference in Q4, where the expense goes up $2 million to $3 million, quarter-over-quarter. And then we kind of make adjustments for what we call our EP and bonuses and all that would also swing things from Q3 to Q4. So those are the two things that cause an increase from Q3 to Q4. There is no major change in terms of investments over there; it's primarily driven by those two factors.
Scott Sutherland - Wedbush Morgan: And last question I had is on the Mobile Solutions, obviously, you had some good margin expansion in that segment this quarter. What more is there, I mean, I understand that you integrated data centers as we have, have you done some more efficiencies on the device you manufacturing and procurement of the materials?
Steven W. Berglund - President and Chief Executive Officer: No, as I pointed out, really, we... when we acquired @Road in February last year, I think the primary... I guess our first priority was not to screw it up. And so we were comparatively walking through the door we were... we listened, we booked, we discussed, but we were not necessarily precipitous in terms of doing anything other than the things that obviously made sense. But as we pointed out is the... we did take our incremental opportunities as the year went on, so the current @Road headcount is I call roughly, 10% plus down from where it was at the time of acquisition. A lot of that G&A related, lot of that is kind of infrastructure related. If you will, the second phase after kind of getting to know each other and getting a new management structure in place and getting better financial transparency, what I would call, careful synergies in the marketplace. So as I pointed out is that @Road if you will, what was @Road has taken the incremental product into the marketplace in Europe and half of it promoted that in four quarters. So we took our opportunities there. I think that given that the @Road employee group has become comfortable with Trimble, Trimble better understands the business. I would say at the beginning... really the beginning of the fourth quarter as part of larger corporate reorganization, we intensified the level of management integration, operational integration between Trimble Mobile Solutions and @Road and I would say today that by and large that they are acting as one unit and increasingly the identity of @Road will kind of be... will move towards the background of a larger Trimble identity. But in terms of things you mentioned, data centers, product and scale factors, other things, I would say it's still early days. So, I would say it's not ... we are now starting to move into more of an active phase of operational execution synergies. It really began less than... well, roughly three months ago. So, I think it's early days, so that I would say in general, the upside is of that sort of things still ahead of us.
Scott Sutherland - Wedbush Morgan: Great. Thank you.
Operator: There are no further questions at this time.
Steven W. Berglund - President and Chief Executive Officer: Thank you. Thanks a lot of for attending and I will talk to you next quarter.
Operator: This concludes today's teleconference. You may now disconnect.